Operator: Ladies and gentlemen, good afternoon. My name is Abbey [ph] and I will be your conference operator today. At this time I would like to welcome everyone to the Proterra Q2 2022 Conference Call. Today's conference is being recorded and all lines have been placed on mute to prevent any background noise. After the speaker's prepared remarks, there will be a question-and-answer session. [Operator Instructions]. Thank you. And I'll now turn the conference over to Aaron Chew, Vice President of Investor Relations at Prottera. You may begin your conference.
Aaron Chew: Thank you, operator. And thank you all for joining us for Proterra's second quarter 2022 conference call. Joining us today from Proterra are our CEO, Gareth Joyce; as well as our CFO, Karina Padilla. After the markets closed, we published our quarterly letter on our website in a SEC filing, which we encourage everyone to read for details on our financials and insights into our operating results and strategy, industry dynamics and outlook. During this conference call, we will make statements related to our business and industry that are forward-looking statements under federal securities laws. These statements are not guarantees of future performance. They are subject to a variety of risks and uncertainties. Our actual results could differ materially from expectations reflected in any forward-looking statements. For a discussion of the material risks and other important factors that could affect our actual results, please refer to our SEC filings available on the SEC's website and via the Investor Relations section of our website. Additionally, non-GAAP financial measures will be discussed on today's conference call. A reconciliation of these measures to their most directly comparable GAAP financial measures can be found in today's quarterly letter. We will kick off the call today by introducing our Chief Executive Officer, Gareth Joyce, for his opening remarks. Gareth?
Gareth Joyce: Thank you, Aaron, and to everyone for joining us on the call today. In Q2 2022, our teams preparation and execution enabled us to continue to navigate to a difficult operating environment with global supply chain conditions remaining disruptive and unpredictable. As a result, we delivered excellent growth in Q2 driven by continued momentum at Proterra Power and strong execution at the Proterra Transit. While sustaining a strong balance sheet with more than a half a billion in cash and equivalents as of June 30. Q2 operating highlights include growth by a factor of 10x for Proterra Power Delivery to another record of 348 battery systems, as well as a new high revenue of $24 million for the quarter. A rebound and Proterra Transit deliveries from cue on labels to 52 new electric transit buses, yielding $51 million of transit revenue for the quarter. Battery production close to doubling year-over-year to 79 megawatt hours and Proterra Energy delivering 3 megawatts of charging solutions despite continued parts shortages, as well as site commissioning delays. Altogether, we generated record revenues of $75 million growing 27% growth year-over-year and compared to Q1 2021 and positive gross margin of 1%, down from 2% a year ago, but up significantly from negative 5% in Q1 2022. Meanwhile, demand for electrification solutions not only remains healthy, but the tailwinds are on the verge of becoming even stronger in the United States in the second half of 2022. With over $800 billion of awards funding electric transit buses as part of the federal Low or No program anticipated to be announced this month, as well as the first $250 million to $500 million in awards under the EPA electric school bus funding expected to be announced in October. Both of these being markets, which Proterra serves through either Proterra Transit or Proterra Power. Our team is doing an excellent job executing, but I can't overstate how difficult an environment we're operating in right now. The economy and capital markets are in a much different state than they were just six months ago. Not to mention two years ago, before we went public. We're now in a market that has lost some of its enthusiasm out of a high growth company. And is focused far more on margin improvement, capital management, and cash flow generation. Fortunately, our new leadership team has been instrumental in evolving our management operating systems to improve our ability to scale a business as we've made the shift from startup. to scale up. We will explore these dynamics at the end of the call. But, we will first provide a more detailed review of our Q2 results. I will start with the Q2 operating metrics and business trends. And then I'll pass it to Karina to review revenue, gross margins, and cash. And then I'll close with a reiteration of our 2022 guidance, as well as some strategic commentary on how we are responding to the current economic and capital markets. Let me begin with Proterra Power and Energy. Our management continues to grow at Proterra Power. Battery systems delivered in Q2 were higher than Q1, which itself was higher than all of 2021, enabling another quarter of record deliveries and revenue in Q2. Proterra Power delivered battery systems for 348 vehicles in Q2 that is more than 10x the 13 vehicles we delivered battery systems for a year ago, and 21% higher than the 287 vehicle units delivered in Q1 2022. Through June 30, 2022 we have now delivered battery systems for more than a 1,000 vehicles for our OEM partners. While it's figuring through some prototypes and vehicles still in production, or in transit to the end user, and he's not reflective of the underlying kilowatt hour battery capacity power has now delivered batteries to more vehicles for our OEM partners than to Proterra Transit vehicles. Proterra Power its pace of growth is underpinned by the expansion in the number of customers vehicle programs entering series production, and by the growth in volumes of these programs as our customers scale up production. To put it on a perspective at the start of 2021, we had established partnerships for five vehicle programs, but we're only delivering to one in series production. In Q2 2022, we had announced partnerships with more than a dozen OEMs, covering over 20 vehicle programs. And we delivered battery systems to 15 different OEMs in the quarter, four of which were in series production, and the rest prototypes for current or potential partners. While the full vehicle programs in series production accounted for the vast majority of our volumes in Q2, many of our other vehicle programs that are still in the development phase achieved some important milestones over the last few months. Van Hool showcased its first electric double decker bus using our battery systems. And we supplied the batteries to [indiscernible] started production verification vehicles. And in recent weeks, we shipped prototypes to Nikola for both its tray bed and tray fuel cell EV vehicles. Battery production also continued to grow materially year-over-year, including supply for both power and transit we produced 79 megawatt hours of batteries in Q2 almost double the 41 megawatt hours we produced in Q2 2021. And we have now cumulatively produced over 650 megawatt hours of heavy-duty batteries for commercial and industrial customers and vehicles. At Proterra Energy however significant supply chain constraints continue to impact results in Q2. On top of continued shortages in charging hardware, we are now also coping with the shortages in switchgear 2. Nevertheless, we deliver 3 megawatts of DC fast charging solutions down just 300 kilowatts from 3.3 megawatts in Q1 2022 and compared to 4.6 megawatts in Q2 2021. However, demand for our fleet specific megawatt scale charging solutions continues to expand.  In addition to our foundational demand for the transit by segment highlighted by an order from BC Transit in Canada, for our megawatt scale charges along with their order for ten Zx5 electric transit buses. We received multiple megawatts of orders from non-transit customers in Q2 mainly in the school bus and coach bus segments. So together total Proterra Power and Energy revenue grew 127% year-over-year to a new quarterly record of $24 million. Moving on to Proterra Transit, Transit delivery grew significantly versus Q1 2022 as production rebounded from Q1 2022, which was particularly impacted by supply chain disruptions. Q2 results reflect the benefits of some of our efforts to improve supply chain performance and production processes for the current environment. As a result, in Q2, we delivered 52 new electric transit buses in the quarter as compared to 54 in Q2 2021. This also represents 30% growth from Q1 2022 as our proactive supply chain initiatives to create more flexibility in our production system paid off, with our highest quarterly production rates on record for our Greenville factory. We also delivered pre-owned busses in the quarter which continues to demonstrate the potential for a pre-owned market in electric transit buses. Typically, overall supply chain issues haven't improved and we continue to face constraints in wiring harnesses and power connectors amongst other items. And the COVID-19 lockdowns in China early in Q2 compounded some shortages, particularly in motors and other electrical components. But all the credit goes to our team who put in an incredible effort and got the job done. I'll now hand over to our CFO, Karina Padilla to provide deeper insights into our revenue, gross margin and cash flow performance. Karina?
Karina Padilla: Thanks, Gareth. I'm just going to comment, I'm extremely proud of our team for adapting to what continues to be an unpredictable and volatile operating environment. Our laser focus on execution enabled us to achieve sequential growth in transit and power deliveries, and both year-on-year and sequential revenue growth across both business units and sequential gross margin improvements. In addition, we retain a healthy balance of cash equivalents on our balance sheet of more than $520 million as of June 30. Well, this year's investment in our new factory accelerates our cash usage in 2022, the new Greer, South Carolina facility will allow to multiply our existing varied production capacities that will turn. This positions us for growth on revenue, improved margins and cash flow in the years ahead. Now, let me give you a little color on our financial performance beginning with revenue. Total Q2 revenue grew 27% to $75 million. Proterra Powered & Energy revenue grew 122% year-over-year to a new high of $24 million in the quarter, representing an incremental $13 million over Q2 2021. The growth was driven by more than tenfold increase in Proterra Powered deliveries of battery systems for 348 vehicles. Proterra Powered delivery growth rates exceeded the pace of revenue growth because of a greater mix of lower weight vehicles with smaller battery systems. In addition, Proterra Energy commissioned three megawatts of fleet specific DC fast chargers down by 0.3 megawatts versus Q1 2022 and down 1.6 megawatts year-over-year. The completion of Proterra Energy's projects continues to be impacted by shortages and delays in critical hardware components, as well as permitting and site readiness delays. Switching to Proterra Transit, the revenue in the quarter was $51 million, representing 44% growth over Q1 2022 and 6% revenue growth year-over-year, we delivered 52 new electric buses, and we were able to grow our revenue on two fewer bus deliveries year-over-year, excluding our five pre-owned bus sales. Our average price per bus grew year-over-year and sequentially. This was due to a richer mix of bus product configuration. Electric bus deliveries in Q2 included repeat customers such as Edmonton Transit Services, which received its third orders for Proterra buses to make it the largest Proterra Electric Transit Bus fleet with 60 buses and MetroLINK in Moline, Illinois, which also received its third order of Proterra buses with a fleet now at 17 of our buses. We also had new customer deliveries including ABQ RIDE in Albuquerque, New Mexico, and Suburban Mobility Authority for Regional Transportation, the second largest transit agency in Michigan to name a few. Moving on to gross margins and EBITDA. We reported a positive gross margin of approximately $600,000 in the quarter, a significant improvement versus a gross loss of $3 million in each of the last two quarters, albeit below the gross profit of $1.3 million reported in the prior-year before inflation and supply chain impact really came to the fore. The Q2 margin improvement versus the prior six months was a result of all the efforts we have been diligently working on to mitigate supply chain disruptions. Some of these actions include but are not limited to qualifying alternative suppliers, expanding our broker network and continuing to make investments with our key suppliers alongside their operations to increase their throughput. We're seeing the payoff of our efforts through higher production volume, improved fixed cost absorption and improvement in our labor efficiency. I also want to give a brief update on our pricing initiatives I mentioned last quarter. If you recall, we implemented new contract pricing across both business units for future sales orders. On the Powered & Energy side, we expect to begin realizing the benefit in the latter part of the year as customer deliveries on the renegotiated contracts began to ship. On the Transit side of our business, there's a greater lag due to the long cycle nature of the business. It will be more of a 2023 impact before we begin to see the impact of the repricing of our contracts, improvements in gross margin from our pricing actions as soon as inflation begins to stabilize. If we continue to see inflation trend upward, we may not realize these improvements without additional pricing actions. I'm confident about our team and I'm very proud of what we accomplished in the last six months. This demonstrates our agility and our ability to execute in an extremely challenging and unpredictable environments. That said, I want to emphasize that our business is neither seasonal nor linear, particularly in transit where margins can swing based on the mix of orders or order sizes delivered in any given quarter. In the second half of 2022, gross margins should benefit in part from a higher mix of power delivery under renegotiated pricing. On the other hand, Transit gross margins will not be favorable that they were in Q2 due to a higher mix of bus deliveries with older contract pricing, but subject to recent cost inflation. In addition, we will see an increase of startup costs associated with the completion and initial ramp of our new battery facility in Greer, South Carolina, as is typically the case for any new facility ramp. Many of these costs will be reflected in our gross margin performance in the second half of the year in accordance to GAAP standards as the revenue will lag until we begin to ship product to our end customers. Looking beyond the short term impact of ramping our new manufacturing facility, our underlying gross margin should continue to improve in the years ahead from higher pricing that balances our costs, greater production volumes and scale benefits and improvement in our labor efficiency, more effective supply chain and greater manufacturing efficiencies overall, as we bring our new manufacturing capacity online. Our adjusted EBITDA loss of $33 million in Q2 was driven mostly by the gross profit of $600,000 less operating expenses of approximately $47 million plus non-cash stock compensation of $6 million and depreciation and amortization of $3.3 million. Lastly, on the cash front, our balance sheet remains strong with $523 million in cash, cash equivalents and short-term investments as of June 30. Our cash usage in the quarter was $75 million versus $61 million in the first quarter, a sequential increase of cash usage of $14 million. This includes $40 million of cash usage in the second quarter related to securing our long-term cell supply, and inventory and capital expenditures primarily tied to our new battery facility. We made $10 million prepayment, LG Energy Solutions for the extension of our battery cell supply contract announced last August for multiple gigawatt hours of supply through 2028. We had $10 million incremental capital expenditures related to our new battery manufacturing facility as compared to Q1 2022. In addition, we grew our inventory by approximately $20 million versus the prior quarter. The growth in inventory is strategic. We have purchased key materials in advance of production to be go light ready over the next several months, and we'll continue to invest in supply chain security. Our Greer facility will multiply our existing battery production capacity once ramped, and we are strategically acquiring the inventory in advance to help protect us from potential supply chain and logistics challenges. We recognize that our balance sheet strength of $523 million in cash equivalents as of June 30, sets us apart from others. The health of our balance sheet is not coincidental. Liquidity is a priority. It always has been and will continue to be. But we will continue to invest responsibly in battery capacity expansion, product research and development and across our operations to support our growth strategy for the years to come. At face value, the result will appear at elevated cash front when compared to normalize rates without the goal rather the new facility. Together, inventory and capital investment accounted for two-thirds of this quarter's cash front. I cannot emphasize enough that we understand the importance of prudent cash management, especially in such volatile time. Despite the challenging environment we are all currently facing. I believe we are in an excellent position to ride out any potential economic downturn on the horizon, and have ample room to improve our gross margins over time as supply chain and inflation headwinds normalize. And as we ramp up our new capacity to full production. And with that, I'll pass it back to Gareth for his closing commentary. Gareth?
Gareth Joyce: Thanks, Karina. So already -- as you can see, we delivered excellent results in Q2. Despite all the challenges we're ultimately tracking relatively light of our expectations so far this year. As a result, we reiterate our guidance for revenue growth to accelerate to between 24% and 34% year-over-year, to a range of $300 million to $325 million in 2022. As well as for CapEx of $80 million to $100 million dollars largely focused on completing construction of our new battery factory this year. Our performance year-to-date is not a result of an improvement in global supply chain, or for that matter economic conditions. But our team's hard work experience and execution orientation. In fact, at the midpoint of 2022, the global economy is in a much different place than it was at the start of the year. On top of the last minute effect of COVID-19 in our society, we have the Russia Ukraine conflict, we're experiencing the biggest jump in inflation and interest rates in almost a generation, the slowdown in the economy and capital markets that have become much more discerning. Fortunately, we believe we are prepared to meet these challenges as we transition from startup to scale up, as I have often discussed. Early on this year, we began a testing a strategy of operational and capital disciplines throughout the organization focused on enduring growth, that prioritizes margin improvement over revenue growth, cash preservation without sacrificing our growth investments, and focusing on core growth opportunities that can provide the highest return on capital, as well as the fastest return of capital. We continue to be supported by a healthy balance sheet with more than $520 million in cash and equivalents as of June 30th. And I reassure you, it's not one we take for granted in any way, shape, or form. We continue to make investments in our core growth opportunities, and are fortunate that we have grown our self responsibly, and are not in a position where we need to reduce headcount at this stage, and in fact, are recruiting for many roles primarily to launch our Greer manufacturing facility later this year. We're well blind to the current economic and capital market environment. We're continuing to consume cash this year because of these investments, but much of it is discrete, targeted, non-recurring investment design to increase our production volumes, and improve margins and cash flow, including strategic inventory purchases, prepayments for securing long-term battery cell supply domestically, and of course, CapEx particularly for the new Greer battery factory. Construction of the Greer facility continues to progress. The first battery pack line is starting to be delivered and tested and your machine equipment is undergoing factory testing at the vendor site. Like anything dependent on the global supply chain, Greer has also encountered a chair of equipment delays, while we have been able to work through it such that should be remained on target for solid production in Q4 this year. Bringing it all together I will conclude the call with three key points. One, in Q2, we delivered excellent growth in volumes and revenue driven by both of our business units and also improved gross margins sequentially from Q1 levels. Two, supply chain conditions have not improved and there are growing risks to the economic outlook, but our team is demonstrating its ability to execute and we are focused on targeted investments to continue to grow revenue and improve margins and cash flow. And three, we believe our investments on putting us in a strong position to enter 2023 with a new factory multiplying our battery capacity, secure supply of our key battery module and pack raw materials, supplier development agreements to provide battery systems for more than 20 vehicle programs, transit in a strong position to take advantage of more than $800 million of new annual federal funding of electric transit buses for the next few years. And a well-capitalized balance sheet. So finally, to close, I would like to thank the incredible people, we have at Proterra for their dedication and commitment to our mission. We're both a winning team. And I have great confidence in them to execute on our goals. With that, I'll open it up to Q&A. Operator?
Operator: Thank you. [Operator Instructions]. We will take our first question from Steven Fox with Fox Advisors. Your line is open.
Steven Fox: Hi, good afternoon, everyone. Two questions if I could, first off, you mentioned an ASP increase on the transit side related to the mix of bus configurations. I was curious if you could give some more details on that and whether there's any kind of trendline to extrapolate going forward? And then secondly, Karina, can you just maybe pair -- you gave a lot of detail on the cash burn today, I'm just trying to understand maybe a timeline for when some of the non-recurring events maybe start to die off. And when we could start thinking about sort of the cash burn starting to come down in a sustainable manner? Thank you.
Gareth Joyce: Steven, let me start on the pricing topic. And then Karina will pick up the cash topic. So your specifics on the actual numbers on pricing is not something we would really provide, because that's obviously competitively sensitive information. But I can share with you that we have price for all forward, future business, in any both on powered and transit and proposals that we have been made or for example, in the low-no pricing that has been well covered. We're also continuing to work through our existing customer contracts, we've made very good progress there. As we mentioned on our last earnings call, the majority of the contracts have been reviewed. There are a few sizeable ones that are still under negotiation on both sides of the business, both Powered and Transit, but we feel confident that we've made very good progress there and are obviously looking to recover the supplier side inflation pressure that we've been seeing in our business.
Karina Padilla: Hi, Steven, this is Karina. I'll go ahead and tack on the cash burn question, then do you have any follow-up, we're happy to take that. So regarding the cash burn, look, there's no doubt that it's been an accelerated cash burn a phase due to the prep for growth, it's specifically tied to the manufacturing expansion in our strategic supplies, securing inventory, we need to go live. If I were to kind of line it out for you, I would expect us to continue to carry that higher inventory and be on accelerated burn until we go live and start producing shipping to customers out of our career facility.
Steven Fox: Great, that's helpful. And then Gareth, just clarification on that on the first question. Is there anything to consider in terms of your mix, the configuration mix going forward that is sustainable, that helps ASP is beyond what you mentioned with contract pricing?
Gareth Joyce: I don't think I have anything significant to add there. The only comment I would make is obviously the transit side of the business. There is a mix of sort of business that comes out of the low-no process as one example and then RFPs on the other side where you've got [indiscernible] and then in some cases, it's direct sourcing. So there's a mix of the kinds of business that you have and obviously how those prices are put into the market is different in each case. So it's very difficult to sort of uniquely answer that question, because as you know, in the transit business, many of them have very specific requirements on the configuration of the product. And so there are nuances across every customer.
Steven Fox: Great, that's helpful. Thank you.
Operator: And we will take our next question from Mike Shlisky with D.A. Davidson. Your line is open.
Michael Shlisky: Good afternoon, and thank you. Can you comment on the kind of big news of the week which was Nicolas purchase of Romeo Power, obviously announcement that came out yesterday. Can you may be share what that means for your Nikola contract? Is it going to be business as usual going forward? What you know? And then maybe the second part of the question, they also announced that all their non-Nikola business, they're going to be exiting that as soon as they can and find other battery suppliers. Do you think there are some opportunities for you to pick up some new business that way?
Gareth Joyce: Yes, hi, Mike. Thank you. First of all, we've enjoyed a very constructive and healthy relationship with the team at Nikola from the very beginning of our discussions. And they have always emphasized their intention to follow a dual source strategy for their battery packages, both for their battery electric vehicle and the fuel cell vehicle. They reiterated that again, on the call this week, if you consider their production targets, it's likely that they would require multiple sources of battery suppliers to and we have a lot of confidence in our product. We have the cells, we have the production capacity coming. And we have leading technology in our battery packs, so we feel confident that it's business as usual for us with the Nikola team. To your second question. Yes, they did indicate that they do not intend to pursue merchant battery business. And so, today, your Romeo is a competitor. And I guess by inference, it means that that may not be the case in the future. And obviously, we have confidence in our products in the market and look forward to continuing to bring good solutions to customers in the commercial vehicle market who are going to need them.
Michael Shlisky: Okay, okay. Fair enough. Thank you. I also want to follow-up with some comments on opening Greer, later on this year. I recognize that you're getting this to the kind of set up in a very labor light way. But do you have the people that you need at this point higher to fully set up production over there? Or is that coming up next quarter or so?
Gareth Joyce: Yes, we are busy with the setup process for Greer both in terms of equipping the facility and obviously, hiring. So we're well underway with that process. And as Karina mentioned, part of we are setting up a new factory, you've obviously got to invest ahead of the startup. And yes, we're well underway with that. And again, we feel very excited about going live with start-up production at Greer, because it's a significant moment for us to increase our scale materially.
Michael Shlisky: Okay, great. And last one for me, just about your R&D spend in the quarter. It's been up most of the quarters of the last year or two just because of the growth of the business and your new plans. But is the $15 million level a roughly decent number to go with them here? Or could there be further expansion over the next 18 months or so?
Gareth Joyce: Well maybe let me start and then I will ask Karina to add some thoughts that she has. I think the R&D spend that you see at the moment is really driven by to two factors. The first is obviously continuing to invest in our product portfolio, as we set the course to have the right product for the market in the long-term. But also, as you bring customer programs to life, there is an investment you have to make in those programs ahead of their side of production. So there's a lot of engineering spend in our engineering team that goes into setting up the success for the growth of the business as those vehicles come online.
Karina Padilla: And I think the only additional color I would add is kind of even just broader than R&D. If I take a look at the kind of total OpEx, the way I think about it is about a third of the growth that you see is really tied to I'll call it administrative type public company growth requirements that we have. But two-thirds is not just aren't heavily focused on R&D but other call it SG&A type initiatives that help support the customer program. So and that two-thirds of it, we see it more than investment in the growth in the future growth of the business rather than expense. I recognize that it's hitting the profits line within the P&L, but it's what we feel we need to do to help support our future growth strategy.
Gareth Joyce: Yes, I think Karina has touched on a very important point that highlights one of our uniqueness's as Proterra. Those interfaces between our customer facing team and engineering resources, and commercial vehicle OEMs is where we really bring to life, the richness of our experience, not just in our battery technology, but the experience we have in battery electric power trains, as we work with them to bring high quality products to market.
Michael Shlisky: Got it. Well, thanks to you both. I appreciate the discussion. I'll pass it along.
Karina Padilla: Thanks.
Gareth Joyce: Thank you, Mike.
Operator: [Operator Instructions] And there are no further questions. I apologize, we do have a follow-up from Mike Shlisky with D.A. Davidson. Your line is open.
Michael Shlisky: Thanks. So it's just me, I'll ask one or two more, if you don't mind. I mean I was trying to give someone else a chance, obviously. So thank you for taking the follow-up here. I guess I kind of want to get a feel for just the inventory piece of it. I know you had some, you mentioned some one-time startup, and then you had that pre-payment, there was no actual inventory sent as part of that prepayment. And it was just the cash payment. Is that correct? And is that the only one you have to make or other additional prepayments to come here?
Karina Padilla: Yes, so let me take that in two parts. First, the $10 million prepayment, you'll see as in other assets on the balance sheet. So that's for the future purchase of cells. Right now, we don't expect to make any additional payments in '22. Our contract is based on milestones. So as certain milestones are achieved, that's when kind of the payments trigger. So as of right now, that is the only anticipated payout in '22. And regarding the rest of it, we had about, if you think about it, if I look at kind of in a six month, we had about $10 million gross in the first quarter and $20 million, kind of sequentially, this quarter. It's all tied to in order to be ready to go, right, you need to have everything in place. And not only are we getting ready to right go live on our new battery facility, but as you see, our demand is continuing to grow at an accelerated rate when in our power business, and we need to continue to be able to make strategic investments on our Transit business as well. Everything's got to shift. So, ideally, my inventory balances wouldn't be as high but I recognize that this is what's required and what we need in order to have a successful go live. So we'll invest in it in the short-term, until we're able to stabilizes the capacity normal life.
Gareth Joyce: Mike, I'm going to just add one or two sentences on to what Karina said around the broader sort of outlook on strategic inventory. It's something that the team is extremely focused on, leveraging our capital position to set us up for success as we grow. But we also have developed a very strong leadership team with great experience in scaling and scaled businesses. So yes, I think we're starting to see the benefits of the leadership experience we've been bringing on board. And having leaders who know how to focus, invest in the right areas where we know we're going to get return, but then also be very disciplined in areas where we know we're entering a time where that discipline is absolutely required.
Michael Shlisky: Got it. Maybe another question, can you maybe just discuss the pipeline of platforms that your team is bidding on and looking at for the Powered business, outside of the things that might come to market, which are pretty sizable from what Romeo might be giving up. What you're actually pursuing today, do you have the platform as a pipeline of platforms increased every quarter-over-quarter or year-over-year? Or do you feel like you've gotten a lot of what you were hoping to get and now you're just kind of delivering on some of those first time contracts?
Gareth Joyce: Yes, Mike, as we've indicated on our last call, yes, we give backlog and order updates once a year. So we're not going to do an update on that in any detail, but I will say that demand in the market has remained healthy, obviously, supply chain remains constrained. But when you consider the infrastructure act and the funding that's been made available just for transit buses and school buses alone, the demand in the market remained healthy. And on the commercial vehicle side, as we've indicated the growth in our OEM customers and vehicle platforms, demand is again it's healthy, and we have high confidence that our products are well matched to what the market needs right now. And obviously, we're going to continue to seek to grow our product portfolio with the right products in the right segments where we know we can add value for our customers.
Michael Shlisky: Okay, okay, I'll leave it there. Thank you so much.
Operator: And we will take our next question from Dillon Cumming with Morgan Stanley. Your line is open.
Dillon Cumming: Hey, good afternoon, guys. Thanks for the question. I said one kind of longer-term strategy question on my side. I think during the public market process, the idea on the transit business is more so to demonstrate the kind of strength of your battery packs and battery systems, obviously, let's look at the delivery scales not take on that side, there's a pretty high level of adoption going on, right. And customers are definitely recognizing the kind of compelling technologies that you bring, so I guess just given the level of uptake, and given the strength in deliveries, you're going to have Greer coming online here by the end of the year, does that change the thinking around how long you want to keep the transit business? I mean, I appreciate this will generate a lot of your revenues today. But just curious, at what point in terms of when you can actually or I guess, at what point, at what level of Proterra Powered deliveries, would you feel comfortable maybe not holding on to the transit buses anymore?
Gareth Joyce: Yes, thanks for that question. For now we have a very well-constructed product portfolio, our transit business was at the genesis of our sort of innovation track, and has proven to be a valuable asset as we can use it to essentially demonstrate the capabilities of our own product in the powertrain business. And so, yes for us, its own that gives us that added level of confidence that what we're building in the Powered side of the business really is, ready for market. I mean, we have transit buses running from East Coast to West Coast, north to south on flat terrain, mountainous terrain, hot and cold, you name it, we have three million miles of real world testing under the vehicle. So it's added tremendous value for us. And so it's helped us build out the powered business successfully. And of course, the energy business where the charging systems that we went into retail charging for the transit bus business because the feed operators really didn't had solutions to that. And so that's also helped us grow and scale the energy product portfolio. So we like the product mix we have today. And we're going to continue to develop all of them as we see the economic opportunity in the market. And yes if that plan changes, we will update the market but for now, we're very comfortable with the product portfolio we have.
Dillon Cumming: Yes, that sounds good, thanks for the time.
Operator: And there are no further questions. At this time, I would like to turn the call back to Mr. Gareth Joyce for any additional or closing remarks.
Gareth Joyce: Well, thank you and really I guess to close, I would just like to thank you all for your time today and we appreciate what you bring in helping us understand the message of who we are as a company and thanks for the confidence you have in us. So appreciate the time today and enjoy the rest of the day.
Operator: Ladies and gentlemen, this concludes today's conference call and we thank you for your participation. You may now disconnect.